Operator: Good morning. My name is Rob, and I'll be your conference operator. At this time, I'd like to welcome everyone to TGS Third Quarter 2020 Results Earnings Conference Call. TGS issued its earnings report yesterday. If you did not receive a copy via e-mail, please do not hesitate to contact TGS Investors Relations department. Before we begin the call today, I'd like to remind you that forward-looking statements made during today's conference call do not account for future economic circumstances, industry conditions and company performance and financial results. These statements are subject to a number of risks and uncertainties. All figures included herein were prepared in accordance with International Financial Reporting Standards and are stated in constant Argentine pesos as of September 30, 2020, unless otherwise noted. Joining us today from TGS in Buenos Aires is Alejandro Basso, Chief Financial Officer; Leandro Perez Castaño, Finance Manager; and Carlos Almagro, Investor Relations Officer. And now I'd like to turn the call over to Mr. Basso. Thank you. You may begin.
Alejandro Basso: Thank you. Good morning, everyone, and thank you for joining us today on this conference call to discuss the third quarter earnings and highlights for Transportadora de Gas del Sur. To begin the call today, I'd like to talk about some relevant corporate events that have occurred since our last quarterly earnings call in August. Firstly, as seen that COVID-19 pandemic, I'd like to mention that since mid March when the Argentine government started it's quarantine across the country, oil and natural gas industry activities were considered essential and it stem from interruptions. As such we've been running all our breaking and administrative activities under strict protocols, including and having the minimum personnel in place to protect the health of our employees, suppliers and constructors. Currently, the additional levels of restrictions in place depending on each province and municipality and the amount of sick people in each jurisdiction. On August 21, TGS held a shareholder's meeting, during which [indiscernible] was appointed as a member of the Board of Directors to fill the vacancy left by former director was resigned last June. In addition for alternate directors and two members of the statutory authority were appointed. On such date, [indiscernible] was appointed as Member of the Executive Community by the Board of Directors. Also worth noting is that last month, the Argentine Government launched a new plan aimed at increasing production by offering higher prices to industrial users with a gas users with a maximum of ARS3.7 per million of BTU. The terms of the contracts will be of three years with a minimum total volume of 70 million cubic metals per day, which is to be allocated to natural gas users and for electricity generation. Additional volume could be generated for the winter season. The price to be paid to be paid to gas users will result in a competitive auction. It is relevant to say that the average price of natural gas that TGS paid for its liquids business in the last nine months has been at around $2. This gas plan may imply an increasing bio cost for liquid business but it was probably revert the decrease of the natural gas production. If the decrease in production continues it could strengthen the natural gas supply that TGS needs to run this business segment. In addition, this plan will help us strengthen our transportation service and boost our midstream business in the Vaca Muerta. Finally, on August 21, a new share buyback program was approved by the Board of Directors for 210 days, spanning on March 22, 2021. The maximum amount is for ARS3 billion. Currently we hold 42 million of shares in our treasury, which represent approximately 5% of the total capital stock. Turning to Slide 4, I'll now briefly talk about some highlights in our 2020's third quarter results. By the way, oil fiend percentage in this quarter and comparisons made with the previous quarters are expressed in constant pesos as of September 30, 2020, following the provisions established by the IFRS for financial reporting and hyperinflationary economics. As seen in the slide, we reported a higher net income during the third quarter of 2020 at ARS381 million compared to ARS58 medium net income reported in the second quarter of 2019. It is important to highlight the EBITDA increase in our liquids business at ARS2.3 billion while we recorded an EBITDA decrease in the transportation of ARS1.4 million and recorded a positive variation in the financial result of ARS353 million. Moving on to Slide five, as I mentioned before the EBITDA transportation decreased by ARS1.4 million. This decline is basically explained by the ARS2 million revenue loss generated by annual inflation of almost 37%, which was not compensated by any tariff adjustment. This revenue decrease was partially offset by lower PP&E maintenance expenses of ARS546 million. It's important to bear in mind that more than 80% of revenues are generated by firms that was based on capacity content with an average life of approximately 10 years, which allow for predictable and steady revenues in the future. However, without any tariff adjustment since April 2019, revenues measured in real terms have been decreasing due to inflation negative effect. As I mentioned in the last earnings conference call, we have decided to postpone any tariff adjustment until the end of this year. For the time being, we are not aware of when it will take place and what the percentage will be. Nonetheless, these years has provided regulator relevant information that was requested to refine the new tariffs. In terms of collections, even though we refueled balanced decline during the quarter by a ARS800 million to ARS1 billion from ARS1.8 billion, currently it's in the second level as it was at the beginning of the quarter. On Slide 6, you can see that EBITDA generated by the liquids business in the third quarter increased by around ARS2.3 in real terms moving from ARS340 million to almost ARS2.7 billion. In fact I should remind you that in the third quarter of 2019 due to abrading program suffered by PBB Polisur, TGS sold only around 6,000 tones of the same compared to the normalized volumes sold in this quarter of approximately 100,000 tons. This explains most of the increase in the liquid's EBITDA, which resulted in a slight increase of ARS2.2 billion. Also relevant to say is that higher sales volumes was a result of increasing orbit of around 13,000 tons to 66,000 tons in the 2020 quarter compared with 36,000 tons in the last year's quarter, which generated additional sales of ARS641 million. Another positive evaluation that resulted from lower natural gas prices of ARS1 billion explained by lower average natural gas prices has accelerated from ARS4 per million of BTU to ARS2.2 in the third quarter of 2019. All of these positive variations were potentially offset by higher natural gas volume purchased with an increased variable cost of ARS1.2 billion. In addition, lower export price of propane reduced revenues in the domestic market by ARS417 million. Turning to Slide seven, other service EBITDA increase from ARS410 million to ARS734 million. Part of the EBITDA increase in this segment is explained by higher revenues of ARS200 million generated by midstream services, which was mainly attributable to increasing revenues of midstream services rendered in Vaca Muerta. Furthermore, lower operating costs increase EBITDA by ARS223 million. As a negative effect, we recorded a reduction in construction services revenues of ARS65 million. On Slide eight, we can see that financial expense decreased by ARS853 million. The most the most important change was that positive evaluation was the foreign exchange results of ARS5.2 billion which is mostly explained by the 8% dollar foreign exchange rate increase recorded in the third quarter of 2020 compared to a significant increase of 36% in the second quarter of last year. This positive effect was partially upset by a ARS3 billion loss generated by financial assets and ARS1 billion lower share gain generated by inflation exposure of our financial position as inflation in this quarter was lower than the one registered in the third quarter of 2019. Finally turning to Slide nine, you can see that cash flow for the third quarter, our cash increased by ARS2.4 billion where EBITDA amounted to ARS6.9 billion of which 50% was generated by the transportation business segment. CapEx was ARS1.4 billion and our working capital was for use by ARS655 million mainly due to higher collections from [indiscernible]. Despite the deterioration for our related business, given the lack of tariff adjustment, we do expect to continue generating a positive operating cost, which together we know that maturities in the following four years puts this years on a solid financial position. This concludes our presentation. I will now turn the call back to the operator who will open the floor for questions. Thanks.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator instructions] Our first question comes from the Zeg Fernández with Balanz. Please proceed with your question.
Ezequiel Fernández: Thank you for the call of the materials. This is Ezequiel from Balanz. I have two questions, the first one is related to the implementation of [indiscernible]. We're currently in an environment where local gas prices are around $2.5 per MMBtu across different segments. The planned auction could take them above the may be $3.5 per MMBtu for the power generation off-take and the GAAP [ph]. Do you think that this is also going to increase prices on the unrelated segment from the current levels?
Alejandro Basso: We think we make up in part on the industrial gas prices okay. We don't know the size of this increase but it will surely have an impact mainly in winter. You know that our production in [indiscernible] is much higher in the -- out of the winter season, but nevertheless it will have an impact on our natural gas price. At the same time, the same contract with [indiscernible] has sort of hedged for the increasing gas prices.
Ezequiel Fernández: And my second question is related to the liquids business and particularly the butane Garrafa, we understand that an increase in the peso price happened in October. I joined a little latter the call. I don't know if you commented on this already, but if you could tell us a limit bit how much in percentage terms that was for TGS in particular?
Alejandro Basso: It was an increase of 10%.
Ezequiel Fernández: Okay. Would you say that the current price per ton in around ARS10,000?
Alejandro Basso: Yes ARS11,000 per ton.
Operator: Our next question is from Lorena Reich with Lucror Analytics. Please proceed with your question.
Lorena Reich: I have a question on the tonnage. I know you mentioned that you don’t know what's going to happen by the 190 you’ve been in conversations with the government to get a sense of what's going to happen in next year and also given that what are you assumptions on that and also given the normalization in the liquids business, if you can give us a sense of the business need you're expecting in terms of the two business or the three businesses for 2021. Thank you.
Alejandro Basso: Okay. You're welcome. As regards to tariff, we've just started conversations within our gas, it's pretty soon to say something about the tariff evolution based on what's the OpEx and CapEx projections for next year and we have submitted that information, but there are some talks here that the increase in tariff is going to be in connection or similar to the expected inflation, but that's very broad assumption because we don’t know what's going to happen with inflation this year. Regarding the liquids business I couldn't understand you fully. What was the question?
Lorena Reich: It was what you expect within your business need between the transportation and the liquids business going forward? Having that you’ve been on the tariff adjustment, whether or not, but no we've seen this quarter that the liquids business grow because of the lack of tight adjustment in the transportation business and also the normalization, but '19 going forward, what do you expect recommendation of this segment for total revenues?
Alejandro Basso: Well as we guided, the transportation business if the tariff increase is going to be lower than the inflation, we're going to have some impact there of actual inflation okay. As regarding the liquids business, even though we're going to suffer from some increase in the natural gas price, the liquids prices are higher and we expect higher prices for next year and as I said before Butane has a pass through for natural gas. So maybe in dollars terms in the liquids business could be somewhat similar to this year, which after all is a very good year-over-year ear for the liquids business in spite of the pandemic.
Operator: [Operator instructions] Our next question comes from [indiscernible]. Please proceed with your question.
Unidentified Analyst: Just one quick question, if you call it, what is included in the other financial assets that you mentioned as liquid assets to calculate in, thanks?
Alejandro Basso: Okay. There we had a loss was an accrual, in fact it's not the cash loss coming from the purchase of sale of got low coming from the purchase and sale of solid bonds that we have to book at official exchange rate.
Unidentified Analyst: Okay. This is not in the balance sheet right. The research in your account that's the financial assets and I think it's something liquid that you're using like cash equivalent. So what is in that?
Alejandro Basso: What I said before, it's a loss coming from the purchase and the sale of certain bonds okay. It's not the cash flows.
Operator: Our next question comes from [indiscernible]. Please proceed with your question.
Unidentified Analyst: I have a follow-up on as again a first question, could you give us more color on what are your expectations of how your business will be impacted by the implementation of [indiscernible]? Do you expect any material change there?
Alejandro Basso: Well as regard to the natural gas price, we have -- it will surely have a material impact because current price of around ARS2 per BTU are not favorable prices for users to develop their field. So you may see something around ARS2 or something like that in the future. But at the same time, as I said before we're going to have compensate for this increase in natural oil prices in the ethane as it has in the provisions of the contract and then we see natural gasoline because of the fact that we're expecting higher price for this year mainly as the impact we suffered this year during the pandemic in the second quarter.
Unidentified Analyst: Okay. And what are the Vaca Muerta.
Alejandro Basso: As I said in my speech, for the Vaca Muerta, this is a very good news because of the fact that we are expecting higher volumes and may be new opportunities to develop our structure there.
Operator: [Operator instructions] Our next question comes from Jorge Vargas with BTG Pactual. Please proceed with your question.
Jorge Vargas: I entered a little bit late to the call. If you answered these questions already, I am sorry about that and my question is if you provide us more details on the important increase you had on the cash flow provided by investment activities. Thank you.
Alejandro Basso: On CapEx we have lower CapEx this year than the last year due to the cut in 2019. We've finalized all the Vaca Muerta infrastructure projects. Then in the financial assets, we have an increase that we decided to invest in certain bonds during the period. 
Operator: There are no further questions at this time. At this time, I'd like to turn the call back over to Mr. Basso for closing comments.
Alejandro Basso: Okay. Thank you all for participating in this year's third quarter 2020 conference call. We look forward to speaking with you again when we release our fourth quarter 2020 results. However, if you have any questions in the mean time, please do not hesitate to contact our Investor Relations department with any questions. Have a good day.
Operator: This concludes today's conference. You may disconnect your lines at this time and we thank you for your participation.